Aiman Ezzat: Thank you. Good morning, and thank you for joining us for this Q3 revenues call. I have today with me Carole Ferrand, our group CFO; and Olivier Sevillia, our group COO. So I am pleased to share with you our continued strong performance in Q3 with more than €5.5 billion of revenue. We have added €1 billion in this quarter alone. That represents in published growth 22% year-on-year and 15.7% in constant currency. Whilst noting this is a sixth consecutive quarter of double-digit growth, double-digit organic growth, the underlying growth momentum is definitely there. Bookings totaled €5.4 billion, 13% increase at constant rates. That represents a book-to-bill of 0.98, which remains well above the pre-COVID average for Q3. The funnel remains strong and we continue to have quite a few additions of new deals. It’s happening at a healthy rate, so we continue to feel comfortable about the direction of the business. Digital transformation remains our clients’ priority, be it to fuel top line but also to reduce costs or increase agility and scalability of their operations. Cloud and data are – therefore remain the top – in top of mind for our – in the market. We continue to expand our talent base and gain market share, reaping the benefits of the strategy and the market positioning we have achieved with unique capability mix combined with deep industry expertise. When we look at the performance across the group, it remains quite strong, be it by geography, by sector or by business. Our Q3 is an extension actually of Q2, taking into account the more demanding comparison basis. All regions reported strong double-digit growth in constant currency, extended the robust momentum that we have seen since the beginning of the year. All businesses also achieved double-digit growth. It’s worth highlighting the 30% growth of Strategy & Transformation, which continued to be driven by the strong appetite for new digital transformation initiatives. And finally, in terms of sectors, top performers in Q3 are Manufacturing, Services, Public Sector and Financial Services. As you can see, the mix is quite diversified; and this provides resilience. We continued to gain market share and strengthened our position in key industries and markets. Now looking at the diversity of projects signed in Q3, we can see the appetite for technology remains strong and remains quite diverse, powered by cloud, data and AI. Our clients are engaging more and more in large-scale deployments to be able to accelerate the ROI from their digital investments, but let me highlight three deals which are quite interesting. First, for Alstom, we will deliver the client’s first SaaS platform to enable digital rail services for their customers. Now this platform will be cloud-based, of course, cyber secure, data-driven and delivered in partnership with Microsoft. This project will support the transformation of Alstom towards being a smart and sustainable mobility leader, accelerating therefore their move from product to digital services in alignment with their 2025 strategic positioning. I mean this is a good example because this is exactly what everybody is trying to do in the manufacturing sector, so notably here on the mobility, so that – it’s true for rail. It’s true for airlines, for aero. It’s also true for automotive, the same drive towards the digital services. Another example is for a U.S. automotive company where we’re developing embedded systems to accelerate their product development cycle in terms of software and edge technology. And here we are clearly positioned as a strategic partner in their product road map in terms of how they’re going to drive their top line in the future. And finally, for a luxury brand, for Breitling, that you all know, we are supporting their journey to net zero. We are driving their global carbon accounting, combining expertise in sustainability measurement with the Salesforce Net Zero Cloud. In other words, we contribute to the digital backbone of Breitling transformation toward a sustainable business. And on sustainability, just to continue on that, there is an ever-increasing client interest in our services, which remains one of our focused investment areas. We currently have 14 offerings in our sustainability portfolio, so we are the business and technology partner of our clients. We bring sector-specific solution to drive concrete business outcomes across the whole value chain of our clients’ organizations. Now what does it mean to be the business and technology partner of our clients? It means three things. First, it’s about value creation. We successfully built a client-centric organization aligned by industry and focused on value creation. We have become a lot more proactive in terms of shaping transformational deals to enable the clients to leverage the full power of technology but with industry-specific solutions to deliver tangible business outcomes. And the intimacy we have developed with CXOs now across the organizations allow us to participate in some of the strategic discussions and therefore to be present at project inception. The second thing is about offering a broad portfolio of capabilities and solutions. We have a wide business mix. We go from consulting to engineering, IT, digital. And we are global leaders in cloud, data and AI technologies, which you understand are the core of digital transformation projects, again, either supporting growth initiatives or cost optimization, but we are also recognized as leader in areas like Intelligent Industry, customer first, enterprise management or – and sustainability. And finally, this is about acquiring and retaining the best talent, so in spite of a very challenging environment, we have added close to 50,000 people in the last 12 months. And this has required over the last few years to really develop a state-of-the-art talent management approach, so be it global hybrid working policies, progressing diversity and inclusion, world-class digital training, accelerated promotions, employee mobility, they all contribute to make us an employer of choice. And talent is, beyond all, attracted by the leading-edge transformation we deliver for our clients. So, basically the attractiveness of our projects, the interests that people see in terms of getting associated with some of this transformation. Now focusing on value creation, building a growth portfolio and attracting the best talent, these are really three of the engines, that makes us a business and technology partner. Now coming to the outlook. So in this context of continued performance and strong positioning, we clearly feel comfortable with the top end of our growth outlook for 2022, which was, as you remember, significantly raised to 14% to 15% in July. We confirm the operating margin target of 12.9% to 13.1%. We have enough levers to sustain our margin in this inflationary environment. And finally, our target for organic free cash flows remains €1.7 billion. However, we see a tighter cash environment linked to increased interest rates and a more demanding working capital due to the growth which will be much higher than anticipated at the beginning of the year. Looking into 2023, I remain confident in our capacity to grow and demonstrate our resilience in what is expected to be a more challenging environment. Thank you. I now leave the floor to Carole, our CFO.
Carole Ferrand: Thank you, Aiman. And let’s first review the key trends of the third quarter of 2022. As Aiman just pointed out, Capgemini achieved another strong quarter with very solid growth across all our regions and business lines. With revenues of €5.553 billion in Q3, our growth at constant currency rates reached 15.7% compared to the same period last year. Given the higher comparison basis, this means that we managed to maintain in Q3 the strong traction we have been experiencing since the beginning of 2022. Considering a scope impact of 1.4 points, organic growth stands at 14.3% in Q3. FX proved to be particularly strong tailwind in Q3 with a positive impact of 6.3 points due to the appreciation of the U.S. dollars against all other major currencies. Consequently, the group’s reported growth stands at 22% in Q3 and 22.5% for the first 9 months of the year. For the full year, M&A is expected to contribute around 1.5 points to the group growth and FX should add a little more than 4 points. Let’s now look at our revenues by regions. All group regions reported again this quarter strong double-digit growth at constant currency rates. Restated from the higher comparison basis, every region has essentially continued on the same strong momentum than in the previous quarters. Revenues in North America grew by 14.7% at constant currency rates, driven mainly by the Financial Services, Manufacturing and TMT sectors. The United Kingdom and Ireland region continued to report strong momentum with growth of 17.2% at constant currency rates, boosted by the public sectors as well as the Financial Services and Energy and Utilities sectors. France reported revenue growth of 12.7% at constant exchange rates with a particularly strong performance in the Manufacturing and Consumer Goods & Retail sectors. The Rest of Europe region grew at 15.5% at constant currency rates, with the Manufacturing and Consumer Goods & Retail sectors remaining the top drivers. Finally, revenues in the Asia-Pacific and Latin America region increased sharply by 24.1% at constant currency rates. Please keep in mind that the scope impact of the acquisition is lower than in H2 – is lower, sorry, in H2. Underlying momentum was particularly robust in the Financial Services and Manufacturing sectors. Moving now to our revenues by sectors, we maintained our strong momentum in Q3 with double-digit growth at constant currency in almost all sectors. Similarly to regions, most of sectors have maintained same strong dynamics than in previous quarters when restated for the higher comparison basis. While it may appear somehow muted when compared to other sectors, the Energy and Utilities sector has nonetheless delivered a decent growth in Q3. Moving on to our revenue by business lines, all the group’s business lines maintained double-digit growth rates in Q3, continuing the trends observed in H1. Strategy & Transformation recorded constant currency growth at 28.5%, demonstrating the continued strength of the client demand for new digital transformation initiatives whether to support their top line growth or to optimize their cost base. Application and technology reported constant currency growth of 15.9%. Restated for the stronger comparison basis, the underlying momentum is even slightly stronger than in Q2. This reflects the broad-based demand from group clients for deploying large-scale digital transformation projects. Services in engineering and operations also maintained their solid traction with double-digit growth. As in H1, this performance was driven by mid-teen growth in engineering services as well as in cloud infrastructure services, while Business Services recorded a moderate growth. A quick look at the bookings evolution now. Bookings amounted to €5.4 billion in Q3, up 13% at constant currency. The book-to-bill for Q3 stand at 0.98, another strong quarter, 8 points above the pre-COVID average for Q3. Year-to-date, our bookings amount to €17 billion, up 19% year-on-year at constant currency. And finally, a few comments on the head count evolution. The total head count reached 358,000 employee at the end of September, up 16% year-on-year. The offshore ratio is stable at 17 – 59%, sorry. Lastly, attrition amounts to 26.8% on the last 12 months basis. While still high in absolute terms, this is slightly down compared to the end of June. We expect attrition to moderate further going forward as the demand environment and talent market are normalizing progressively. With this, I hand over back to Aiman to open the Q&A session.
Aiman Ezzat: Thank you, Carole. So operator, can you please have the message for the Q&A?
Operator: Yes. Thank you. [Operator Instructions] The first question comes from Amit Harchandani from Citi. Sir, please go ahead.
Amit Harchandani: Thank you. Good morning, all. Amit Harchandani from Citi.
Aiman Ezzat: Good morning.
Amit Harchandani: As a first question, if I may: If you listen to comments made by some of your peers who have reported in the earnings season, so far, they have commented about client budgets looking to factor in macro, talking about more downside than upside scenarios; others talking about potentially slowdown in discretionary spends, greater step-up in cost-centric deals in addition to digital transformation deals. Therefore, could you kindly share your perspective on what are you seeing out there in terms of customer behavior and conversations? And then I have a follow-up.
Aiman Ezzat: So first, I’ll comment a bit on the nature of what we see, yes, before I comment on the volume aspect, if you want. On the nature, we continue to see quite a bit of [indiscernible] in terms of both projects, project work, what some people call consulting and outsourcing or managed services deals. We haven’t seen a fundamental change in these trends. I think there might be some trends in some industries, but for us, when I look overall at the group level, there hasn’t been any significant change from that perspective. It’s been the appetite for new projects for our digital transformation continues to be quite strong. In terms of discretionary spend, again, so far, we haven’t seen, to be frank, a reduction at this level. Now looking forward, we don’t see a deceleration for the moment, okay? And I’m saying for the moment on purpose. We have seen a few deals shift from Q3 to Q4 but nothing material but definitely a bit more than we had seen, for example, from Q2 to Q3. So I do expect there will be a deceleration, but again I remain confident about the growth in 2023. Will clients react to the macro by prioritizing some investment? For sure. I do expect, for example, in the digital side investments that will have a higher level of ROI or basically especially quicker ROI will be prioritized compared to other. So it’s clear that we do expect to see clients start moderating some of the spend, but when I discuss with COOs and everything, interaction I have been is the willingness to continue to invest significantly around technology, to drive the digital transformation is structural and continues to be there so that we’ll continue to do it. Now will we see some prioritization and some moderation around the pace in 2023? For sure, but the structural demand remains strong. You have follow-up.
Amit Harchandani: Thank you, Aiman. Yes, please. As a follow-up, very quickly, Carole, if I may. With regards to free cash flow generation this year, could you kindly reconfirm your confidence in the outlook? And any puts and takes to keep in mind given the broader macro environment? Thank you.
Carole Ferrand: Thank you, Amit. So we continue indeed to target €1.7 billion. However, since the beginning of the year, we see two visible headwinds. The first one has been already commented by Aiman. It’s the financing of the growth. We have a reported growth year-to-date of 22.5%, so the growth is much higher than what we initially anticipate. And to me that’s a good problem to have. The second one is the macro environment, no surprise on that. The interest rates have increased sharply. And where clients didn’t want in prior years to have excess cash on their balance sheets, it’s not anymore valid. So the environment has clearly changed, but we are fully mobilized to offset those headwinds. And we will continue to work sharply on that, but this does not affect our future cash flow generation.
Amit Harchandani: Thank you, Carole.
Operator: The next question comes from Laurent Daure from Kepler Cheuvreux. Sir, please go ahead.
Laurent Daure: Yes. Thank you. Good morning to all. Good morning, Aiman. I have one question and a follow-up. The first question is regarding your target for the year in revenue. You now expect the high end of your guidance. It implies quite a deceleration for the fourth quarter. I know the comps are getting even a bit tougher, but is it just being cautious, or do you see uncertainties for the very end of the year? And my follow-up is on the financial sector. We’re hearing diverging tones from different player in the field. What is your view on this vertical for the near to medium-term? Thank you.
Aiman Ezzat: Yes. So the question on the growth, I say we are confident with the high end of the guidance. We expect to be close to 10% organically in Q4 today, okay? There is some distortion compared to Q3 [indiscernible] coming from base effect as well, but that’s where we expect to be around 4Q. Regarding FS, listen. Right now, as you see, I mean, our FS numbers actually are pretty good, so it’s holding pretty well. Of course, we have to see what happens in the banking sector in the case of a strong macro deceleration, but – so as usual in the banking, we can see fluctuation and some volatility. Right now we remain confident on the growth on Q4 and the beginning of the year, but we’ll have to see how things evolve, of course, as we go into the rest of 2023.
Laurent Daure: Thank you.
Operator: The next question comes from Michael Briest from UBS. Sir, please go ahead.
Michael Briest: Yes. Good morning. Thanks. So just in terms of the visibility you have into 2023, can you just try and give investors some assurances or sort of some comment on how much certainty you have of the revenue in maybe the first half of the year and the second half? And in terms of hiring, net hiring has obviously come down. To what extent is that setting a new sort of trend that we should expect for fiscal ‘23? How important is the hiring number coming down sort of almost 50% from Q2’s level? Thanks.
Aiman Ezzat: Yes. So thank you, Michael. So first, visibility on 2023. We have as much visibility as we’d expect at this time of the year. So if I look compared to what we saw in Q3 last year, at the same time or October last year, it’s the same kind of visibility, so we don’t have a reduced visibility. It continues to be good. Remember our bookings continue to be strong. We have pretty good bookings look for Q4, so overall for me we remain pretty confident around the growth going into 2023 but again slower growth but still positive growth. On the net hiring side, yes, it’s expected. It’s expected. It’s coming from two things. One, we’re not going to grow as much, so we’re going to hire less people, okay? That’s normal. It’s not – that mean we’re sustaining growth above double-digit for several quarters. And the second thing is we have less attrition coming up. When I look at our, for example, attrition in India, forward-looking attrition in India for Q4 based on the resignation we had in Q3, it’s coming down quite a bit, so we don’t need to be able to hire as much to be able to do shadowing, etcetera because attrition is coming down. We don’t need to over-hire. And we’ll start looking, of course, at some operational optimization in utilization and others, so it’s an opportunity to tighten operationally. And we’re not the only one. I have seen across the industry most people have reduced significantly the hiring now because of expected somewhat lower growth and, of course, reduced attrition.
Michael Briest: Thank you.
Operator: The next question comes from Charles Brennan from Jefferies. Please go ahead.
Charles Brennan: Good morning, guys. Thanks for taking my question. Aiman, I think you’re being very realistic about the way in which you’re communicating the outlook, which is you’re not seeing any signs of it yet, but equally you’re not immune. Just from our point of view, what do you think the best metrics are to track the momentum in the business? And where do you think we’re going to see it first? Is it just simply in the bookings performance that’s going to be the leading indicator? Is it going to be a slowdown in Strategy & Transformation or to Michael’s point is it in the hiring trends? Like what’s the best leading indicator at this point for us to look at? Thank you.
Aiman Ezzat: The whole point is they are all pointing wrongly. Sharp [ph] isn’t basically end up having an impact, but we have – for us, our best thing is we look at our forecast. This is my – for me the best leading indicator. We drive everything else after that. But overall, the bookings remains pretty good, so that’s a good indication. The strategy and transformation one, I think I pointed out it’s an important number because it shows that the appetite is still there. The strategy and transformation is what is front-ending a lot of the digital transformation. And this is showing that the appetite for clients remain there. I mean I have to be honest with you. I continue to find it surprising that we are able to drive a – close to 30% there. And that’s, for me, what gives me the confidence about the appetite for clients to do that. Now, out of the work we do on strategy and transformation, they might prioritize in implementation for 2023, the pieces that will have a quicker ROI. So, it’s going to be more around priority in terms of what they implement. But that’s also what gives confidence around the structural demand, and the fact that it’s going to last for years. Because some of the work that might not happen in 2023, it will definitely happen in 2024.
Charles Brennan: And just elsewhere, are you seeing any signs of vendor consolidation picking up and customers striving for additional efficiencies?
Aiman Ezzat: No. So, there start to be some more cost-related thing, but we don’t see a fundamental shift in the portfolio. No, we had again the discussion. We probed again our head of sales not long ago about the same thing, asking, do you see changes, et cetera. There is nothing. Yes, he will say. There is more deals around cost efficiency than we will have seen in Q1 and Q2. That means it’s not a fundamental shift.
Charles Brennan: Perfect. Thank you. Good luck.
Aiman Ezzat: Thank you.
Operator: Your next question comes from Nicolas David from BHF. Sir, please go ahead.
Nicolas David: Yes. Good morning Aiman. Good morning to all. I have two questions from myself as well, that Q4 usually could be more volatile than other quarters given that clients may decide not to use the extra budget they have. And are you doing, have you done a particular job to analyze that across your client base, or do you think you have a better visibility than other years regarding Q4? And you – when you look at the kind of guidance you had for Q4 now, should we understand that you are in the safe side regarding this maybe more discretionary part of budget for Q4? And my other question is also regarding visibility, but more compared to other cycle, do you think that you have more visibility now than you had in the previous cycle because the context of the work you are delivering has changed notably? I think about cloud transformation, or because also your relationship with client is now at a higher level regarding management. So, any color would be helpful. Thank you.
Aiman Ezzat: Good question. I mean for me, in Q4, we have our forecast. We have pretty good visibility. I feel quite comfortable with what we are seeing. I don’t see something that will be increased volatility or something will fundamentally change in Q4 that will make us review our view. I mean we are quite comfortable. I told you that we feel close. We feel comfortable about the fact now we are going to have close to 10% organic growth in Q4, and that’s something we are comfortable with. In terms of visibility, we have better visibility. I mean we more than – we have better confidence in our relationship with our clients, sustainability of our business, resilience of the business based on the nature of what we do and the relationship we have with our clients. So, we are not on transactional deals and RFPs that can come or might not come and volatility basically coming from that. So, yes, definitely we feel more comfortable. And over the last decade, year-after-year-after-year, we have been increasing the resilience of the business. And remember our comfort as well is coming from the structural nature of the demand. Don’t forget that. It’s not business as usual. We have a structural shift to digital economy that’s driving fundamental transformation in many companies. It can slow down, but it cannot stop. We don’t see aerospace manufacturers or car manufacturers or life science companies or banks or insurance companies or telcos stopping what they are doing because suddenly it’s going to – we are going to have a slowdown in the economy. They cannot stop it. They can slow it down, but they cannot stop it.
Nicolas David: Perfect. Thank you very much.
Operator: The next question comes from Stefan Slowinski from BNP Paribas. Sir, please go ahead.
Stefan Slowinski: Great. Thank you and good morning Aiman and Carole, I just wanted to ask around your commentary around the deals shifting from Q3 to Q4. I think it’s the first time you have talked about that. Can you tell us what kind of deals you are seeing that are shifting? Is that consulting? Is that front-office spend? I am just thinking about what Microsoft said the other day around some of the delays they are seeing with some cloud workload migrations. I am just wondering if that’s what you are starting to see as well. And then just a quick follow-up would just be on pricing. Over the last couple of quarters, you have talked about how pricing has been increasing. I am just wondering if you are still seeing that, or is price increases becoming any harder to push through? Thank you.
Olivier Sevillia: Yes. Hello Stefan, this is Olivier. When it comes to deals shifting, my first observation would be that it’s not material yet. I would say it’s, at this point, yes, we had a few more deals shifting from Q3 to Q4 than we had from Q2 to Q3, but to frankly, conclude on the trends about what are those categories of deals shifting, honestly, it’s difficult to answer to this question. Again, what I see and Aiman alluded to it, in the market is that digital transformation is still extremely strong. Of course, you have a bit of a shift towards intelligent business processes, automation, which is also part of digital transformation that calls for business efficiencies enabled by cloud, AI and so on which will bring faster ROI for clients. So, it’s more – what I see is more a bit of a shift that doesn’t affect the overall volume of digital transformation opportunity we have in the pipe. Pricing, I would say, of course, it’s a street fight. Let’s be very honest. So far, you have seen we have demonstrated pretty strongly that we can somewhat deliver on our pricing power and adjust our costs and levers about pyramids offshore pretty strongly, yes. Contribution margin holds pretty well. I would say, at the moment, I am still pretty optimistic we can un-delete as we enter next year, from what I can see, because of the value added of what we do. In fact, in other terms if you think about the positioning, in fact, the pricing power you have in this industry is really proportional to the value you can demonstrate to your clients if you are engaged on providing a bunch of resources. It’s more difficult than if you are engaged with business CXO delivering business outcomes.
Stefan Slowinski: Okay. Thank you, Olivier.
Operator: The next question comes from Toby Ogg from JPMorgan. Sir, please go ahead.
Toby Ogg: Yes. Hi. Good morning Aiman and Carole. Perhaps just, firstly, on the demand versus supply balance. I know you have talked historically about having a surplus level of demand. And therefore, even if demand was to fall, that could actually be absorbed. Could you perhaps just talk a little bit about how that surplus in demand has evolved over the last couple of quarters and also how much of a slowdown you could actually absorb before that surplus actually started to diminish? Thank you.
Aiman Ezzat: So, it’s a bit challenging as a question to answer, we have to say. No, I – if I look in terms of trends, the demand versus supply, I mean you see it in the tension on the resources. I mean that’s what’s driving the tension on resources. It’s less tension on resources I see going into Q4 and probably into Q1 next year, which mean we start to have. Because of the slowdown, we will start to have a bit more – closer to an equilibrium between demand and supply. But again this is in general. This is the volume side. When you go to specific technology, I can tell you I see plenty of tension in terms of finding good architects on cloud or finding great data scientists, finding people with strong industry expertise around smart industry. So, there is still tension on a lot of these resources. But on the volume side or the macro volume side, I think the tension will come down. So, we will see, for example, reduction in attrition in India notably, yes, as one example, in Q4. But it still remains too high. But it’s a significant reduction compared to what we have seen, but it’s still a bit higher than what we would like still for the moment, which means that the demand continues to be strong and continues to still be higher than the supply of resources.
Toby Ogg: Understood. Thank you.
Operator: The next question comes from Fred Boulan from Bank of America. Sir, please go ahead.
Fred Boulan: Hi. Good morning Aiman and good morning Carole. A quick question on the margin side, if you can comment a little bit about your thoughts on the coming years, if we have a tougher growth environment, a low-growth environment next year, can we continue to make progress on the margin side? You mentioned probably a bit of tapering on the hiring side, but what about the overall headcount OpEx? So, if you can share with us your thoughts on near-term ability to grow margins. Thank you.
Aiman Ezzat: On this one, I – it will be a bit blunt, okay. It’s a bit early to give guidance, so the only thing I will say, what we have aimed in the next year is to prove our resilience in terms of – if there is a downturn really around the market, it’s really to show that we are resilient. On the growth and confidence around the growth on the margin, we will have to prove resilience. But we will continue to be comfortable about our ability to be resilient on the margin side going into next year.
Fred Boulan: Thank you.
Operator: The next question comes from Amit Harchandani from Citi. Sir, please go ahead.
Amit Harchandani: Thank you for allowing me a follow-up. A quick clarification, please. When I look at your outlook of 15% constant currency growth at the high end and 1.5 points from M&A, that gets me to 13.5% organic for the full year, but if I factor in the 10% for Q4 organic, it gets me to 14.5% for the full year. So, I just wanted to double check, which number should we work with in terms of organic growth so that we land at 13.5% or 14.5% for the full year?
Aiman Ezzat: Amit, I think we were clear on the fact we are comfortable with the high end and that we are targeting close to 10% for Q4 organically.
Amit Harchandani: Thank you, Aiman.
End of Q&A:
Aiman Ezzat: Okay. Thank you all. It was the last question. Have a great day. Thank you all. Talk to you next time. Bye-bye.